Operator: Good afternoon, and welcome to AVEO Oncology Second Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to Mr. Hans Vitzthum of LifeSci Advisors. Please go ahead, sir.
Hans Vitzthum: Thank you, Operator. Good afternoon, and thank you all for joining us on today’s call to discuss AVEO’s second quarter 2022 financial results. I’m joined today by Michael Bailey, Chief Executive Officer; Mike Ferraresso, Chief Commercial Officer; Erick Lucera, Chief Financial Officer; and Jeb Ledell, Chief Operating Officer. Before we begin today’s call, let me remind you that during this discussion, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to important risks and uncertainties, including those that are detailed in today’s press release and in the Risk Factors Summary and Risk Factor section of our most recent quarterly report on Form 10-Q, which is on file with the SEC, that may cause actual results to differ materially from those results expressed in such statements. Furthermore, we caution you that these forward-looking statements represent our views only as of today, and we do not assume any obligation to update these statements, whether as a result of new information, future events or otherwise, except as required by law. With that, I will now turn the call over to Aveo's President and Chief Executive Officer, Michael Bailey. Michael?
Michael Bailey: Thank you, Hans, and thank you to everyone for joining us on today's call. I am pleased to report that this quarter our commercial team continued to build on the success of the FOTIVDA launch, and steadily increased market adoption as we kicked off the second year of commercial sales for FOTIVDA. This positive momentum is reflected in both the number of prescriptions filled, which increased to 18% in the second quarter compared with the first quarter of 2022 and the US achieved net product revenue, which was $25 million for the second quarter, a 24% increase compared to the first quarter of 2022, while several factors helped drive our success, we believe the most important one is that FOTIVDA is fulfilling a significant unmet need by providing an evidence-based effective and well-tolerated treatment option for RCC patients, who have relapsed or become refractory to two or more prior therapies. This fact was further recognized on June 17, 2022, when the National Comprehensive Cancer Network, or NCCN, elevated FOTIVDA to Category 1 status. FOTIVDA is now the only treatment with Category 1 in that setting of RCC patients who have received two or more prior therapies. As background, the NCCN clinical practice guidelines are recognized standard for clinical policy in cancer care and are developed through a review of evidence and recommendations from physicians and oncology researchers. The current NCCN RCC guidelines make treatment recommendations for first-line or subsequent therapy options for RCC patients and are referenced in the development of all other clinical pathways and formularies. Importantly, Category 1 is the highest category recommendation offered by the NCCN and reflects positive clinical evidence and perception of the product among the expert NCCN panel members. In addition, the FOTIVDA launch was recently recognized by ZS Associates as an overperforming launch in its analysis of US emerging pharma and biotech companies with first-time launches. And finally, AVEO and our PR agency were recognized during the 28th Annual Communicator Awards for excellence in our multimedia and PR campaigns. Mike Ferraresso will discuss this external recognition in more depth in a moment. With the strong sales trend demonstrated in the first two quarters of 2022 and the recent NCCN status elevation, we continue to be confident in our $100 million to $110 million guidance for FOTIVDA US net product revenue for fiscal year 2022. Furthermore, with growing recognition of our commercial acumen supported by the strong trajectory of FOTIVDA launch, we believe that there is an opportunity to leverage our commercial capabilities by identifying additional assets to potentially add to our commercial stage portfolio. We recently enhanced this effort and look forward to providing future updates on our progress. Turning to our clinical trial activity. We continue to align our R&D investments with our overall corporate strategy of focusing on the US market opportunity for our portfolio, while leveraging partnerships outside of North America to provide R&D funding for our development assets. Consistent with this strategy, we are working to expand the commercial opportunity of tivozanib for the treatment of RCC and our focus, our pipeline, R&D spend exclusively on development initiatives that get our antibody assets to key partnership inflection points. We believe this strategy will create partnering opportunities that can advance these assets with minimal investment from AVEO. During the second quarter, we sought to further refine this focused strategy by streamlining our planned R&D spend for the second half of the year, which resulted in a $10 million to $20 million reduction in our full year 2022 R&D guidance. Erick will provide updated OpEx detail and guidance for the full year 2022 in a moment. With that as an update on our broader strategy, let me offer a quick overview for each program in our pipeline. During the second quarter, at the ASCO Annual Meeting in June of 2022, we presented two posters with new clinical data for tivozanib. One poster featured updated data from a long-term and conditional overall survival analysis of TIVO-3, both of which show improvements in overall survival relative to sorafenib, a nonselective VEGF-TKI. The second poster at ASCO included data from a subgroup analysis of patients with non-clear cell renal cell carcinoma, who had no prior VEGF-targeted treatment. This comes from a previously published Phase 2 randomized discontinuation trial. The analysis concluded that tivozanib demonstrated activity and a favorable safety profile in patients with non-clear cell RCC. On the clinical front, the Phase 3 TiNivo-2 trial, which is evaluating the combination of tivozanib and OPDIVO versus tivozanib monotherapy for the treatment of RCC patients progressing on a prior IO therapy, continues to enroll patients. We expect to be fully enrolled in the second quarter of 2023. If successful, the data from this trial has the potential to support an FDA approval of tivozanib in combination with nivolumab or OPDIVO in relapsed/refractory RCC. And this would expand the market opportunity for FOTIVDA into the larger second-line relapsed/refractory RCC setting. In the DEDUCTIVE trial evaluating tivozanib and durvalumab in HCC, earlier this year, we announced encouraging data from the first-line cohort.  Given the strength of this data and consistent with our focused R&D spend initiatives, we and AstraZeneca have decided to focus our evaluation on the first-line population and close down further enrollment for the second-line cohort of the study, which to date, has enrolled 5 of 20 planned patients. Aveo was committed to providing tivozanib drug supply should AstraZeneca pursue a registrational study in the first line, but Aveo does not intend to fund further development for tivozanib in HCC or liver cancer. Turning to ficlatuzumab. We believe this asset is well positioned to potentially address a significant unmet need that exists for patients with HPV negative recurrent or metastatic head and neck cancer. A patient population with prognosis is very challenging. After being granted Fast Track designation by the FDA in the fourth quarter of 2021, we have announced two clinical trial collaboration and supply agreements, one with Merck KGaA, Darmstadt, Germany, in January and one with Eli Lilly that we announced this quarter. These collaborations not only offset clinical trial costs by providing cetuximab marketed as Erbitux for the potential Phase 3 study, but we believe they also serve as validation of the strength of the data supporting the combination of ficlatuzumab and cetuximab. Also of note, we recently completed full-scale drug substance manufacturing for ficlatuzumab, which we believe strongly positions ficlatuzumab as a potential Phase 3-ready partnering opportunity. We plan on continuing to discuss trial designs with the FDA and to continue to seek a strategic partner to help initiate and fund a potential registration trial in the first half of 2023. For AV-380, we remain on track to initiate a Phase-1b clinical trial in GDF15 expressing cancer patients during the second half of this year where we hope to generate additional data supporting the dosing, safety and anti-GDF-15 activity of AV-380 in cancer patients. We believe this Phase Ib data in hand, we will be in a strong position to find a partner for this potential blockbuster asset. All in all, we are pleased with our continued progress. In particular, we are pleased with the success to date with the FOTIVDA launch and the external recognition we have received which highlights the strength of our commercial capabilities, and we believe creates the potential to leverage our commercial organization as a strategic asset in the future to attract additional potential commercial opportunities. I would like to turn the call over to Mike Ferraresso, to walk us through more detailed commercial update, including second quarter 2022 metrics. Mike?
Mike Ferraresso: Thank you, Michael. As Michael mentioned, we are pleased with the continued success of FOTIVDA in the second quarter of 2022. Our commercial team continues to raise awareness of FOTIVDA as the first and only treatment option with Phase 3 data for third-line kidney cancer patients. As some of you may have already seen, the success of our commercial launch of FOTIVDA was included in a market analysis conducted by global management, consulting and technology firm, ZS Associates, which was published in June. In this report, ZS Associates analyzed first launches by emerging pharmaceutical and biotech companies over the last three years, ranking the launches as underperformed, met expectations or overperformed. ZS reported that FOTIVDA's launch was one of just three launches in 2021 that overperformed compared to pre-launch expectations, while the majority of the 14 products launched in 2021 and included in the analysis underperformed. We believe that this recognition not only validates the success we've had to date but also speaks to the quality of our commercial team and their ability to execute even in the challenging COVID access environment. Our commercial capabilities were also commended by the distinguished Excellence Award, we received at the 28th Annual Communicator Awards competition sponsored by Academy of Interactive and Visual Arts. Aveo and our agency JFK communications received this award for our multimedia PR campaign around the FDA approval and commercial launch of FOTIVDA. The Communicator Awards is a leading international creative awards program honoring creative excellence in advertising, corporate communications and public relations, which is an acknowledgment of the multi-channel marketing approach we've taken to successfully launch FOTIVDA in the COVID environment. Let me now turn to the sales results for the second quarter. To start, this was the fifth consecutive quarter of growth for FOTIVDA, with US net product revenue of $25 million which reflects a 24% increase in revenues from the first quarter and a 271% increase over the second quarter of last year. Further, during the second quarter, we recorded a total of 1,157 commercial prescriptions, reflecting an 18% increase in prescriptions compared to the first quarter and a 309% increase over Q2 last year. As we look ahead, there are several opportunities that we believe will help drive continued growth. For example, in June, we announced that the National Comprehensive Cancer Network or NCCN, had elevated FOTIVDA in the latest kidney cancer treatment guidelines to Category one status as a subsequent therapy for kidney cancer patients who've received 2 or more prior therapies. This is the highest category recommendation offered by the NCCN, which is based on strong clinical evidence and perception of the product among the NCCN and panel members. We believe that this elevated rating can benefit our team's efforts in getting physicians to adopt FOTIVDA as these guidelines are recognized and followed by both academic and community oncologists when selecting appropriate therapeutic options for their kidney cancer patients. For example, our most recent market research conducted with Cardinal Health showed that 80% of the respondents said that Category 1 FOTIVDA upgrade would positively impact their prescribing decisions. In addition, we've seen a significant increase in our field team's ability to secure in-person meetings as COVID restrictions are lifting. We believe this increased customer access will help us continue to broaden our base of prescribers, particularly in the community setting where the majority of kidney cancer treatment occurs. We're also seeing FOTIVDA improve the average treatment duration in the third and fourth line kidney cancer setting versus the reported benchmarks for other therapy options. The FOTIVDA real-world data from the patients initiating treatment in 2021, which provides a minimum of six months of follow-up is currently 4.7 months and is expected to increase as 21% of patients are still ongoing with active treatment. The benchmark for treatment duration in this setting is 3.8 months, so we're already seeing an improvement in this early snapshot. We are very pleased to see an impact on duration and expect the averages to further improve with time. In closing, we continue to be pleased with the momentum that our commercial team has generated since launch and the encouraging reception of FOTIVDA that we've heard from oncologists, patients in the broader medical community. We believe there continues to be tremendous potential for FOTIVDA under the current label and that our commercial capabilities and infrastructure are well positioned to support a potential second line FOTIVDA label expansion, if approved, and possible future launches from our pipeline. I look forward to updating you on our continued progress over the coming quarters. I will now turn the call over to Erick Lucera to discuss second quarter 2022 financial results. Erick?
Erick Lucera: Thank you, Mike. Total net revenue for the second quarter of 2022 was $25.3 million, driven by US net product revenue of $25 million. Selling, general and administrative expenses for the second quarter of 2022 was $17.1 million, a level consistent with the prior four quarters and is compared with $14.9 million in the second quarter of 2021. Research and development expense for the second quarter of 2022 was $12.3 million, compared with $6.9 million in the second quarter of 2021. While we're not yet in the position of paying income taxes, many have asked about the status of our NOLs. During the second quarter, our company in conjunction with our outside advisers performed a Section 382 analysis of our NOLs. Based on that analysis, we believe that most of the $613 million of NOLs could potentially be used to offset taxable income in the coming years. Looking to our full year guidance for 2022, we continue to expect our commercial spending levels to remain relatively constant during the year. Specifically, we continue to expect commercial spend for 2022 to increase slightly over last year to approximately $50 million, reflecting the full year expenses of the commercial launch as compared to only three quarters in 2021. Gross margins are expected to remain in the mid to high 80th percentile in 2022. In addition, we expect general and administrative expense to remain flat at approximately $20 million for the year. In terms of our research and development expense, we now expect it to be $50 million for 2022 versus the prior range of $60 million to $70 million in 2022. As Michael Bailey mentioned earlier, we have reconfirmed our revenue guidance for FOTIVDA US net revenue of $100 million to $110 million. We ended the second quarter of 2022 with cash, cash equivalents and marketable equity securities of $77.2 million compared with $79 million at March 31, 2022, and $87.3 million at December 31, 2021. We believe our existing cash, cash equivalents and marketable securities as of June 30, 2022, along with expected US net product revenues from sales of FOTIVDA will enable us to maintain our current operations for a period of at least 12 months following the filing of Form 10-Q for the quarter ended June 30, 2022. A full overview of the results for the second quarter of 2022 is available on our quarterly report on Form 10-Q. I will now turn the call back over to Michael Bailey. Michael?
Michael Bailey : Thank you, Erick. To close, we are excited by the sustained growth of FOTIVDA’s commercial sales and remain confident in our ability to meet the revenue guidance of $100 million to $110 million for the full year 2022. As we look at the longer-term with the Category 1 endorsement of NCCN and as treating oncologists continue to gain experience with the benefits of FOTIVDA, we see a direct path for FOTIVDA to be established as the standard-of-care for third-line RCC patients. I am very proud of the work our entire team has done to get us to this point and look forward to reporting future successes. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Stephen Willey with Stifel. Please go ahead.
Stephen Willey: Yeah, good afternoon. Thanks for taking the question. I guess, maybe just a couple of commercial ones. You provided a data point with respect to the proportion of prescribers that would, I guess, be more willing to use the product as a function of the NCCN upgrade. But just kind of curious, as you look at your data internally, I guess, some of the course of the last year, two months since that upgrade occurred. Is there anything that you're seeing in the trajectory of script trends that would suggest that, that survey data is playing out right now in the real world? And then, I guess, second to that, if you also just have a gross to net for 2Q? That would be helpful.
Michael Bailey: Yeah. Thanks, Steve, for the question. I'm going to turn this over to Mike Ferraresso, our Chief Commercial Officer.
Mike Ferraresso: Hey, Stephen, thanks for the question. So the -- we're really excited by the upgrade from the NCCN and it puts us in a really strong position. And as we mentioned in the call, we did a recent market research and 80% of the surveyed kidney cancer treating physicians said this upgrade would have a positive impact on their prescribing. Now that said, we just got this upgrade in the back half of June, and it takes a little while to get that into our promotional materials. So we're not reporting anything for Q3 results at this point, but we think it will have a significant impact for us going forward.
Michael Bailey: Yeah. One of the specific details, NCCN does require to review any materials referencing their organization.
Stephen Willey: Okay. And then just gross to net for the quarter, if you have that available?
Michael Bailey: Erick?
Erick Lucera: Yeah. The gross to net was 17.8% for the quarter.
Stephen Willey: Okay. And then maybe just a bigger picture question. You made the comment of perhaps looking to leverage your commercial organization as a strategic asset in the future? And I guess, just kind of curious, not looking for specific timing or guidance obviously, but when do you think you might be in a position to maybe start to look at other commercial opportunities that you can funnel through the infrastructure that you've already built out? Do you need to get to sustainable profitability? Do you need to have another year under your belt? Is it just a function of opportunism? I think any commentary there would be helpful.
Michael Bailey: Yeah, Steve, this is Michael. I think the simple answer is all of the above. As we mentioned in the call, we're ramping this up. We've got Jeb Ledell and he's built a business development function in the organization. So we are actively looking for those kind of assets. So it's hard to put a timeline on that. The other aspect of it is a financial one. And I want to just turn that over to Erick, and we'll talk about that.
Erick Lucera: Yeah, Steve, it's a great question. Obviously, our most important asset is our commercial organization and the ability to bring in another product after one year, 1.5 years on the market, where we feel very confident in what we have is important. But in terms of financing it, what we do is obviously, there's three ways. One is cash from operations. The other is debt and the other is equity. The most important thing is to make sure that it's an accretive transaction. And second to that is we have no interest in selling equity at these levels. So we are on the hunt and open for business.
Jeb Ledell: Yeah. And I'll just add one more color commentary on it. Just a general rule with regard to launches, you want to give 100% focused to tivozanib. We are currently 100% focused on launching to positive. When you get to that 18-month point and beyond, then that's when really the capacity opens up and we think we could bring on as additional strategic assets. So that would probably be the earliest.
Stephen Willey: And then, can you just say whether or not you're also looking at opportunities kind of outside of the GU space, or are you still in that area.
Jeb Ledell: So if we kind of think about this in a target. So GU would be the center of the target. Moving further out, solid tumors would be acceptable potential targets. Moving out outside of that would be heme. And then on the outside of our oncology target zone would probably be supportive care directly associated with cancer treatment. So there's a broad opportunity here. And I think one of the other things that make this concentric circles work is that, as Mike has said, we're basically covering right now, consensus for the GU space, 70% of the prescribing is in the community. So we've got a very broad footprint in the community. And as with any other successful oncology organization, we'll have 100% coverage over the major institutions. It would be a matter if you went out to the heme space, knocking on a different door, not going to the different institutions.
Stephen Willey: Okay. That's very helpful. Thanks for taking my questions and congrats.
Jeb Ledell: Thanks, Steve.
Operator: Thank you. Our next question comes from the line of Colleen Kusy from Baird. Please go ahead.
Colleen Kusy: Great good afternoon and thanks for the question. Congrats on the quarter? Curious, if you saw any persisting impact from COVID, leading into 2Q? And if we should keep in mind, any additional COVID impact in the second half of this year?
Jeb Ledell: Hi. Colleen thanks for the question. I'll again turn that over to Mike.
Mike Ferraresso: Sure. Thanks, Colleen. So the COVID situation is always evolving. We are really pleased that probably starting in the middle of the first quarter and then even more significantly in the second quarter. We're seeing a big increase in our ability to access customers in person. And we're very optimistic and hopeful that trend will continue. That's all signs right now. But again, we're really pleased with the organization and the infrastructure we've built. We've proven we can be effective when we're under the tightest of COVID restrictions. And can impact our customers through our multi-channel efforts. So the board opens up the better for us. And again, we're really optimistic that trend will continue.
Jeb Ledell: Yeah. And I'll just add one more thing, Colleen. We're very proud of this external recognition between the ZS Associates as well as the Communicator award, because it really shows our adaptability and our ability to step-up to the challenges and overcome them. So we're always thinking about what the dynamic nature of the market is. And what we need to do to satisfy it. So, we'll continue to do that.
Colleen Kusy: Great, makes sense. Thank you. And in the past, you've spoken about some of the metrics around patients coming back, who would have maybe foregone treatment before approval. Do you have any sense of how -- what that number is now? And how much higher that penetration could go? And then any sort of efforts you're making to continue to increase that number?
Michael Bailey: Again, I'll turn that over to Mike.
Mike Ferraresso: Sure. So, we look at externally reported benchmarks for this that report the -- what percent of eligible third and fourth-line patients go on to active treatment. So just as a reminder, prior to our approval that number was at 50%. It was updated almost a year into our launch to 58%. And so, it's already improving.  And then to your question about how far could it go? We look at the benchmarks for the second-line setting, which is an 80% to 85% kind of range and we think with really viable tolerable treatments with Phase III data and CAP1 support from the NCCN, our aspiration goal is to get those treatment rates similar to the second-line setting.
Colleen Kusy: Thanks. Thank you.
Mike Ferraresso: Thanks, Collen.
Operator: Thank you. [Operator Instructions] Our next question is from the line of Arthur He from HC Wainwright. Please go ahead. 
Arthur He: Hey good afternoon, guys. This is Arthur in for RK. Thanks for taking my question. Just curious regarding your third-party market research survey. For those 20% responder didn't show positive impact in the prescription decision did you guys further digging out what's the reason they give a hesitation to prescribe the kit?
Michael Bailey: Yes. Thanks, Arthur, for the question. I'll turn that over to Mike.
Mike Ferraresso: It's a great question. So what was done as we showed the update to treating physicians and we asked them to rate the impact. So, the 80% said it would be a significant or moderate impact, the other 20% was broken out of low impact, so increase but low increase and then no impact was about 8%. So the vast majority said it's going to have an impact on others. Maybe they've already adopted it and are already using it or you never win 100% of the time, but this is really impressive in a market research setting to see this kind of response.
Arthur He: Thanks for that Mike. And regarding the pipeline, I just wonder, is there a -- are you guys paying to release the data from the deductive trial cohort B. Is any plan on presenting that at the conference or you could release the data by yourself? Thanks.
Mike Ferraresso: Yes. Thanks, Arthur. I'll try to tackle that. The -- remember, there's only 5 patients who are enrolled in and so it's basically an anecdote. And this is purely a strategic decision in order to conserve resources for the organization. The second line, because of the first-line cohort data was so encouraging in our discussions with AstraZeneca, basically said this would be something they'll evaluate. I think what we agreed collectively was given the strength of the first-line data there's really no need to continue to waste patient resources as well as our own financial resources and continuing that study. Jed, I don't know if you want to add anything else
Jeb Ledell: I think that very well covers it.
Mike Ferraresso: Reporting it, I suspect we were probably reported at some upcoming scientific meeting is possibly in concert with some additional analysis, long-term follow-up that we would have for the first-line cohort?
Arthur He: Good. Thanks for that.
Mike Ferraresso: One last thing, just 100% certainty. There was no adverse effects that we saw that were unexpected in that population. This was truly a purely a business decision.
Arthur He: Got you. Got you. Thanks for additional color and congratulations on the strong quarter. Thanks.
Mike Ferraresso: Thanks Arthur.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. And now I would like to turn the call back to the management for closing remarks.
Mike Ferraresso: Well, thank you all for joining us today. We appreciate your continued support and look forward to updating you on further progress in the coming quarters. And we wish you all a great second half of the summer. Thank you. 
Operator: Thank you. The conference of AVEO Oncology has now concluded. Thank you for your participation. You may now disconnect your lines.